Operator: Good morning. My name is Kelly, and I will be your operator for today. At this time, I would like to welcome everyone to Loews Fourth Quarter 2011 and Year End Earnings Call. [Operator Instructions] Thank you. I will now turn the conference over to Mary Skafidas, Vice President, Investor Relations. Please go ahead.
Mary Skafidas: Thank you, Kelly. Good morning, everyone. I'm Mary Skafidas, the Head of Investor Relations for Loews, and I'd like to welcome you all to the Loews Corporation Fourth Quarter and Year End 2011 Earnings Call [ph]. A copy of our earnings release may be found on our website, loews.com. On the call this morning, we have our Chief Executive Officer, Jim Tisch; and Chief Financial Officer, Pete Keegan. Following our prepared remarks this morning, we will have a question-and-answer session. Before we begin, however, I will remind you that this conference call may include statements that are forward-looking in nature. Actual results achieved by the company may differ materially from those projections made in any forward-looking statements. Forward-looking statements reflect circumstances at the time they are made and the company expressly disclaims any obligation to update or revise any forward-looking statements. This disclaimer is only a brief summary of the company's statutory forward-looking statements disclaimers, which is included in the company's filings with the SEC. During the call today, we might also discuss non-GAAP financial measures. Please refer to our security filings for reconciliations to the most comparable GAAP measures. I will now turn the call over to Loews' Chief Executive Officer, Jim Tisch. Jim?
James S. Tisch: Thank you, Mary, and welcome to the Loews Corporation and good morning, everyone, and thank you for joining us today to discuss Loews' fourth quarter and year-end results. I'll cover a few key highlights for the year, and then turn the call over to Pete Keegan, our CFO, to review our results in more detail. As you know by now, net income for the full year 2011 was $2.63 per share, as compared to $3.07 in the prior year. While net income was down year-over-year, it left positive developments of several of our key subsidiaries. But before I discuss our individual businesses, let's take a moment to focus on the strategic management of Loews. As I said before, we focus on 3 basic strategic principles, all with the goal of building long-term shareholder value. First, we constantly focus on making opportune investments and acquisitions that position us for future growth. This past year, Loews did not make any acquisitions at the holding company level. However, we did facilitate significant investments with at 2 of our subsidiaries, Boardwalk and HighMount, that should serve to greatly enhance long-term value of those companies and ultimately, Loews. Our second basic principle is to create long-term value -- our second basic principle to create long-term value is to effectively manage and allocate Loews' capital. In that regard, in 2011, we spent $718 million buying back 18.2 million shares of Loews' common stock, an investment which we think significantly enhances value for all Loews' shareholders. And third, we constantly work to enhance our subsidiaries' operating performance and capital structure. In 2011, Loews and our subsidiaries continue to weather the economic storm, while positioning ourselves for the future. Our subsidiaries made great progress in meeting the strategic imperative they set to make their business and operations stronger and better able to compete in any economic climate. I'm very pleased with the progress that each of our subsidiaries is making. With respect to our subsidiaries, let's first take a look at CNA. The company continues to work towards its main strategic goals of improving the market position and profitability of the core team sea [ph] operation. CNA is focusing on underwriting and pricing discipline, seeking growth while continuing to build its balance sheet. Let me share 4 points that underscore CNA's success. First, CNA's positive rate increases, solid business retention and strong new business have all resulted in premium growth across the P&C businesses. Second, 2011 was the fifth consecutive year of favorable prior year P&C loss development to CNA. Third, CNA's book value per common share increased to $42.92 at year-end 2011, which reflects continued improvement in CNA's capital position. And lastly, CNA continued its efforts to simplify, strengthen and focus its organization. In that regard, CNA sold its 50% ownership interest in First Insurance Company of Hawaii in August and acquired in June the minority shares of CNA Surety that it did not previously own. Turning to Diamond Offshore. Diamond continues to improve the capabilities of its fleet while maintaining its focus on prudent capital allocation. Diamond recently announced its plans to construct a deepwater semi-submersible rig, mainly Ocean Onyx, that is scheduled to be delivered in the third quarter of 2013. Diamond anticipates that there is significant demand from operators for new deepwater units and this rig should be ideally suited to meet that demand. Diamond will construct the Ocean Onyx, utilizing an existing hull of a cold stacked unit, which should allow the rig to be built and placed into service in approximately half the time and at half the cost of current new build. Longtime Diamond watchers may be saying that they've seen this movie before. I'd say I like the ending. The new rig, along with the 3 ultra-deepwater drill ships under construction in Korea, will be another step in accomplishing Diamond's goals of renewing and upgrading its fleet. Over the last 5 years, Diamond has ordered, built or purchased 8 units capable of operating in deep- or ultra-deepwater. Shifting our focus to Boardwalk. The company is in full-growth mode. It is pursuing its strategy to look for projects that leverage Boardwalk's core asset and diversifies its services and geographic footprint. In the past few months, the Boardwalk management team has made significant progress on these fronts. Just today, the company announced an outstanding news and major projects in the liquids-rich Eagle Ford shale. Boardwalk will be building 55 miles of the gathering pipeline and the natural gas liquids processing plant. Long-term fee-based agreements are already in place with anchored tenants, Statoil and Talisman, for half of the processing plant's capacity. Boardwalk is in discussions with other producers for the remaining capacity. As Stan Horton reviewed on the Boardwalk call earlier today, our Boardwalk has approximately $875 million of growth in acquisition opportunities, which include the Eagle Ford Shale project, the Marcellus gas gathering project and the recent acquisition of the Petal and Hattiesburg storage and pipeline assets, now called HP Storage. As you may recall, HP storage was acquired through a joint venture with an affiliate of the Loews-owned general partner. Boardwalk owns 20% of the joint venture and may acquire the remaining 80% from Loews. Let's now shift to HighMount and the Natural Gas market. We remain optimistic about natural gas prices over the long term. But for the past 6 months, HighMount has taken steps to diversify its business. HighMount has acquired acreage believed to be rich in oil and natural gas liquids, which currently offers dramatically better economics for drilling and natural gas. Consistent with this strategy, in the third quarter, HighMount purchased a working interest in approximately 70,000 net acres of land in the Oklahoma, that we believe to contain oil-rich liquids. HighMount plans to begin drilling this month. In addition, HighMount is pursuing drilling programs in the Sonora field directed at geologic zones that the company anticipates will produce a higher mix of oil and liquid. Finally, let's turn to Loews Hotels. I'd like to welcome Paul Whetsell, who has recently joined us as the new President and CEO of Loews Hotels. With more than 35 years of experience in the Hotel industry, Paul's understanding of the hospitality business is a great asset to Loews Hotels. In 1987, he founded the CapStar Hotel Company, which became one of the industry's largest hotel owners, with over 110 hotels and $3 billion in assets. Most recently, he served as a member of the Board of Directors of Virgin Hotels, providing strategic guidance for its operations and property-acquisition activity. Paul will look to grow Loews Hotels in an asset-like manner, while building on our successful formula of operating unique properties with exceptional service. And now I'd like to turn the call over to Pete Keegan.
Peter W. Keegan: Thanks, Jim, and good morning. Loews today reported net income of $268 million or $0.67 per share for the fourth quarter 2011 as compared to $466 million or $1.12 per share in the fourth quarter of 2010. The decrease in the fourth quarter was primarily due to lower investment income from limited partnership results of CNA and the increase to insurance reserves for CNA's payout annuity business. The fourth quarter also reflects lower earnings of Diamond Offshore. Loews' net income for the full year was $1.1 billion or $2.63 per share compared to $1.3 billion or $3.07 per share in 2010. Book value per share for Loews increased to $47.49 at December 31, 2011, as compared to $44.51 at December 31, 2010, approximately a 7% increase. CNA's contribution to Loews' net income for the fourth quarter was $192 million as compared to $297 million in 2010 and $569 million for the full year of 2011 compared to $609 million for the prior year. The decrease was due to lower investment income from limited partnership results of $57 million and $104 million increase in insurance reserves through its payout annuity business. As discussed in the CNA call, the underlying core P&C business continued to show improvement in underwriting profitably and growth. CNA also continues its discipline reserving practices. In the fourth quarter, the P&C business benefited from $250 million of pre-tax favorable prior year loss development. CNA has had 20 consecutive quarters of favorable prior year reserve development. Diamond Offshore's contribution to net income for the fourth quarter of 2011 was $88 million compared to $113 million in the prior year quarter and $451 million for the full year 2011 as compared to $446 million from the year before. Results for the fourth quarter were impacted by a higher number of planned downtime days for scheduled maintenance, survey, mobilization and upgrades, while the full year results benefited from historically low unanticipated equipment downtime. Boardwalk Pipeline's net income for the fourth quarter decreased to $21 million from $34 million in the prior-year quarter and $77 million for the full year in 2011 compared to $114 million from the prior year. The decrease is primarily attributable to one-time items in both 2011 and 2010. Absent those items, the quarter was basically flat year-over-year. Boardwalk recently raised $217 million in an equity offering. HighMount's net income for the fourth quarter decreased to $12 million from $21 million in the prior year quarter and $62 million for the full year in 2011 compared to $77 million from the prior year. Results are primarily due to decreased sales volumes stemming from a reduction in HighMount's drilling activity and declines in natural gas prices. HighMount's production volumes and realized prices in the fourth quarter are as follows: Natural gas production was $10.7 billion cubic feet at an average realized price of $5.71 per 1,000 cubic feet; natural gas liquids production was 656,000 barrels at an average realized price of $39.36 per barrel; and oil production was 72,000 barrels at an average price of $88.74 per barrel. HighMount has hedges in place for about 52% of its total production for 2012 at an average price of $5.79, and has hedges in place for about 16% of its total production for 2013 at an average price of $5.44. During the fourth quarter, HighMount refinanced its outstanding debt, which included a $400 million capital contribution from Loews. Loews Hotels had improved results for the quarter and year. Net income increased to $5 million for the fourth quarter in 2011 from breakeven in the prior year. For the full year in 2011, net income rose to $13 million as compared to $1 million for 2010. The improved results were due to the improvement of business in leisure travel with particularly strong results for Loews at the Miami Beach and Orlando Hotels. Holding company cash and investments as of December 31, 2011, totaled $3.3 billion as compared to $4 billion at September 30, 2011. In the fourth quarter, we made capital contributions of $400 million to HighMount for the refinancing of its term loans and $106 million to fund the acquisition of working interest in oil and gas properties. In addition, we invested $285 million for an 80% equity ownership in a joint venture with Boardwalk Pipeline. We received $159 million in interest and dividends from our subsidiaries and paid $25 million in cash dividends to our shareholders during the fourth quarter of 2011. We also repurchased 800,000 shares of our common stock for $28 million. As of December 31, 2011, there were 396.6 million shares of Loews common stock outstanding. And that concludes my remarks, and I'll now turn the call back over to Mary.
Mary Skafidas: Thanks, Pete. Kelly, we're ready for our question-and-answer session now.
Operator: [Operator Instructions] And your first question comes from Ron Bobman with Capital Returns.
Ron Bobman - Capital Returns Management: I had a CNA-related question. CNA management regularly comments in the context of capital management and potential capital management activities that an important factor in their sort of menu of choices is the float of CNA stock? And I was -- what I'd like to know is from the Loews perspective. Obviously. As the dominant shareholder, does Loews care about the float of CNA?
James S. Tisch: If CNA went public, I think that Loews shareholders would demand that it be public. And being in public offers a lot of benefits to CNA. And so we actually like the fact that it's public. It gives us a barometer on how CNA is doing and it helps all Loews shareholders to value CNA as well. Beyond that, whether the float is 10% or 5% or 20%, I don't think it's worthwhile for me to comment.
Operator: The next question comes from David Adelman of Morgan Stanley.
David J. Adelman - Morgan Stanley, Research Division: Jim and Pete, well, first, were there any dynamics that limited at all the window of opportunity for Loews to buy back its common stock during the fourth quarter?
James S. Tisch: I'm not going to answer that question because I don't want to -- first of all, if there were, then maybe there were some corporate activity. And if there weren't, it just doesn't make any sense for us to go down that road and talk about the things that may or may not have prevented us from buying in shares.
David J. Adelman - Morgan Stanley, Research Division: Okay. Can you comment, in general, about the -- what you see in terms of the opportunity for the holding company to make acquisitions in the present environment?
James S. Tisch: Yes. I think, and I felt this way for a few years now, that the acquisitions in this environment are very difficult for a few reasons. Number one, because the future is really not clear. I don't have a clear view of whether the economy is going to grow at 2%, 4% or 0%. And there still are an enormous number of uncertainties that those of us that manage businesses have to deal with day in and day out. That's number one. And number two, there really aren't a lot of property or assets that are for sale at prices that I think would be attractive for Loews shareholders. So we are happy to continue to own our businesses. We're happy to repurchase shares and we're happy to have significant amounts of cash on our balance sheet. So we don't feel any strong urge or itch to go out and do a big deal.
David J. Adelman - Morgan Stanley, Research Division: Okay. And then if I could, Pete, 2 specific financial questions, if you have it handy. I was curious if you had what the general partner dividend payment to work from -- at the Boardwalk General Partner for the full year? And then also with the refinancing and capital contribution you mentioned at HighMount, what the year-end debt level was at that division?
Peter W. Keegan: HighMount redid its -- basically, its term debt and brought it down from $1.1 billion to $700 million. The total term debt available is $850 million. So the term debt of HighMount is $700 million. I don't have the exact GP dividends, but we can get back to you with that.
Operator: Your next question comes from Bob Glasspiegel of Langen McAlenney.
Robert Glasspiegel - Langen McAlenney: A couple of quick questions, numbers of questions in HighMount and then some more subset in the questions about the fundamentals there. What are your carrying values at year-end for it, with the increased divestments? Were there any write-downs at all?
Peter W. Keegan: No. There were no write-downs in the fourth quarter of either ceiling test impairments or goodwill.
Robert Glasspiegel - Langen McAlenney: Okay. So the carrying value just goes up by the 2 new investments in?
Peter W. Keegan: Effectively, yes.
Robert Glasspiegel - Langen McAlenney: Which -- it may total -- give me the numbers again. You were going quickly, I didn't get them down.
Peter W. Keegan: Well, for HighMount?
Robert Glasspiegel - Langen McAlenney: Right.
Peter W. Keegan: Yes. We put in $106 million -- we contributed $106 million for acquisitions, and we put in $400 million in capital that was the offset to the debt going from $1.1 billion to $700 million.
Robert Glasspiegel - Langen McAlenney: So $506 million is what the carrying value goes out by?
Peter W. Keegan: That's the amount we put in. That's correct.
Robert Glasspiegel - Langen McAlenney: Okay. And then Jim, you seemed like pretty excited -- more excited about that business in commenting about trends and with the gas prices having come down quite a bit. And you and I debated in the last few years -- over the last few years, what has to happen to have the infrastructure in this country change and whether it requires the government or the free market to work. But there doesn't seem to be much progress over this time. What has to happen for -- beyond the -- obviously, the prices going up? What has to happen to move demand up in this country for gas?
James S. Tisch: First, back to economics 101. The thing is going to move demand up as price is going down, our price is going up. Price going up is really appreciated by us. But in order for demand to increase, price needs to be down. Gas price -- spot gas price is now about $2.50 in Mcf. That's the equivalent to about $15 per barrel of oil. Oil is currently trading -- West Texas Intermediate is trading at $97 a barrel and Brent Crude, which has really become the international marker, is at $115 a barrel. So gas is very, very cheap. And what we've seen is that we've had a number of years now where gas has traded under 30% of the price of oil. And what I what that is doing, I believe, is that it is getting people to think about changing from oil to natural gas. I spoke to somebody just this weekend, who told me that he spent a few hundred thousand dollars in his commercial building in New York City, switching from heating oil to natural gas. So all manner of projects to put natural gas, either compressed or LNG, into service stations so that trucks and delivery vehicles and private passenger automobiles can consume natural gas. We're going to have closure of a relatively large number of coal-fired power plants that will then be replaced by natural gas. So there's no doubt in my mind that natural gas consumption will increase rather significantly over the next 4 or 5 years. Combined with that, there will also be, in the next several years, as LNG export facilities that will be able to -- each facility will be able to handle about 1.5% of daily natural gas production. So -- and that will be read by the market as additional demand for natural gas. So in my mind, there's a lot of things that will increase natural gas demand. The only problem is that since virtually all of these things require significant capital expenditures, it will take some time in order for that to be realized. But my belief is it will come online and in the past several years, we've seen natural gas consumption grow dramatically faster than oil consumption in the United States, and I think that's going to continue.
Robert Glasspiegel - Langen McAlenney: So am I right in -- I mean, we have your actions of putting $500 million into this business and we have your words and your opening remarks would seem to suggest that you're pumped up about this segment, what potential returns can be over the next 3 to 5 years. Is that a fair characterization?
James S. Tisch: Somewhat, yes. We're also -- the $100 million that we invested in land acquisitions in Oklahoma is primarily in the oil. And we like very much the economics of that drilling program. As I mentioned on the last call, we spent about $100 million for land. And if we find the oil that we anticipate that we will find there, and will mobilize and do that right now. If we find that oil, there could be in excess of $1 billion of drilling activity to get that oil out, and we see attractive returns on that investment.
Operator: Your next question comes from Michael Bunyaner, TLF Capital.
Michael Bunyaner: Would you be kind enough to comment on CNA? If one looks at premium to surplus, especially in light of the post-agreement with National Indemnity, we are very much over capitalized at CNA and clearly, they're beginning to increase their dividends, which is terrific. But nonetheless, the question is does that -- why not to make -- why not to begin to address the over capitalization a little bit more aggressively and/or use CNA to make investments on a more permanent basis in larger companies rather than using Loews balance sheet to do that. Have you ever thought or considered doing that?
James S. Tisch: Well, the premium to surplus ratio is a good quick indicator of the capacity of an insurance company. But this stage, you really have a look as much, if not more, to the rating agencies and their dicta concerning the levels that insurance companies can operate out in terms of revenues that they can write. In that regard, CNA is -- you're right, very, very strong in terms of capital rating -- has ratings that would ordinarily make it, I think, a AA- rated insurance company. CNA, under Tom Motamed has a very significant growth plans. We're anticipating price increases this year and we're also looking to expand our market share volumes. So hopefully, over the next several years, we'll see that the -- what looks like excess surplus at CNA will be used and in essence, consumed supporting increased written premiums.
Michael Bunyaner: I had just one follow-up on the CNA. So the investment that has been made over the last 2 years-plus in the infrastructure and the sales force, that is really what we're betting on here. Is that correct?
James S. Tisch: That's correct.
Michael Bunyaner: And the next question on HighMount. You clearly have addressed them, again, congratulations for all the hard work to unlock shareholder value by having public entities in various of your businesses. HighMount has been a long-term investment, so I have 2 questions. One, what should take place or what type of an environment should we experience for a period of time that HighMount becomes a public company? Have you thought of that?
James S. Tisch: We really haven't. We've been focused on growing HighMount's business, expanding it into -- and diversifying it into oil and natural gas liquids, and putting in place a steady stream of production of those liquids. And that's still going to take some more time for us to fully diversify HighMount's production. So we're not thinking about what do we need to do in order to take this company public. That's just not on our radar screen.
Michael Bunyaner: And one last question on the fundamentals of gas. You remain to be very positive about long-term outlook and we finally started to see the gas rig count to decline. Is there anything in the marketplace that tells you that the covenants that various companies have there, that have been very aggressive in drilling and have a lot of debt, that we may actually get to a place where there will be forced shutdown anytime soon? Or is it just not where we are at the moment?
James S. Tisch: I haven't seen anything specific, but my instinct and my bones tell me that there are a significant number of independent gas E&P companies that are going to have a lot of trouble. The -- with gas trading at $3.5 or $4, the industry was going to operate at minus $25 billion cash flow. I mean, they were going to have to raise $25 billion outside sources. And now spot gas prices at $2.50 and hedges running off for E&P companies, I think there -- in some boardrooms, there's concern that's moving to fear that's going to move to panic. And I think that the decline in rigs is just one symptom of that. Now we'll have to see how this all plays out over the next 6 months to a year, but it looks like we are going to end the heating season with record amounts of natural gas that's going to put some pressure on natural gas prices. We're also seeing the time spreads increasing because people think that natural gas will go up in the future, which is, to some extent, benefiting Boardwalk Pipeline. I think though that it's going to take some time for the -- measured in a number of quarters for natural gas to really hit bottom and start to move up. And I think that as that happens, they will be more discipline on the part of gas E&P companies so that they won't be so -- go out with such reckless abandon in terms of the drilling program.
Operator: Your next question comes from Michael Millman of Millman Research Associates.
Michael Millman - Millman Research Associates: I guess some more HighMount. Could you give us some idea of when you first bought HighMount, what you thought it would be worth long term, long term might have been as much as 20 years? And to what extent that number might have changed considering us going out, considering that frac-ing is unleashing lots of reserves, although I guess, they were just produced?
James S. Tisch: A good question, Mike. When we bought HighMount, natural gas prices were about $7.5 to $7.75 in Mcf. And in the first year, it went through -- it just about doubled to about $15 per Mcf. And now gas prices have declined, I guess, 80% or so to under $3 an Mcf. Nobody is making money at these levels. And my guess is that even though HighMount isn't public, that obviously, the value of our investment is lower today than it was when we made the investment. We did not anticipate the tremendous impact that frac-ing would have on the supply of natural gas. And likewise, I don't think that anybody really fully understood what that impact would be. Having said that, what's happened since then is that the cost of looking for natural gas, just as the price of rigs and other services has come down, but nonetheless, at $2.50 or $3 an Mcf, virtually, nobody can look for natural gas or dry gas and be profitable doing it. So my fearless forecast is that natural gas prices will go up over the coming quarters and years, and reach a equilibrium price that will still probably be lower than when we originally got into HighMount. Having said that, I am optimistic about HighMount's future. I'm optimistic about the investment opportunities that we have there, and believe that we will be able to earn good rates of return on our investment in it.
Michael Millman - Millman Research Associates: Good. Switching to hotels. You mentioned asset, like I think, most of the hotels you currently own, you're talking about doing franchising or managing hotels or some combination?
James S. Tisch: No. We're not thinking of franchising per se. We are in the ownership and management business, and we think that we should be able to increase the number of hotels that we have by putting some equity money in, but having partners in ownership. And likewise, we are also going to be looking to increase the number of just hotels that we have under management.
Operator: [Operator Instructions] Your next question comes from Sam Yake, BGB Securities.
Sam Yake - BGB Securities, Inc., Research Division: I'm wondering, when you evaluate potential investments for Loews, do you apply a pretty strict test of evaluating -- of measuring those potential investments against buying back more Loews stock?
James S. Tisch: Absolutely, positively. When we buy a business that we don't know, there's a lot of uncertainty to it. And the thing that we happen to know best is Loews, and because 3 of our subsidiaries are public, we have a very good sense of what those businesses are worth. So when we buy back our shares, we don't have to pay a premium. We're able to buy it market price. Then when we buy another company, typically, you have to pay a premium to the market price. So all of that and more figures into the calculus that we go through when we think about buying a new business versus buying in our own shares.
Sam Yake - BGB Securities, Inc., Research Division: Great. It just seems to me that where the stock has been trading recently, there's very few potential investments that could come close to meeting that test. And I guess, when you mentioned that you had to scale back your stock repurchase in the fourth quarter, I'm wondering, have you thought about -- could you possibly institute like a 10b5-1 plan so you could get around many restrictions?
James S. Tisch: I didn't say we have to scale back our share repurchases. What I said is that I'm not going to comment about our share repurchases. And I'll just say that our lawyers here are aware of the current state-of-the-art in technology in share repurchases, and we consider all of that when we do buy our shares.
Sam Yake - BGB Securities, Inc., Research Division: Okay. And then I have one kind of one last big picture question. And that is, when I look back at the history of Loews, and you've been so successful over a long period of time, and you had that -- the creative transaction where you spun off boulevard [ph] in that -- a tax-efficient way that benefited shareholders. I'm wondering, what kind of factors do you look at when you think about potentially doing that type of deal again with one of your subsidiaries?
James S. Tisch: The thing that we keep talking about is how we are focused on creating long-term value for all of our shareholders. That really is what drives us every day in what we do. And there are -- we try not to have any bias in our analysis of opportunities. We just try to look for the transactions that will create the most value for all our shareholders. And we find that as we start to explore and get knowledgeable about different transactions, we tend to figure out what really is the best way to execute them in order to create that value. So it's just a long process of a lot of hard work, study and diligence.
Operator: Thank you. This concludes the Q&A portion of today's call. I will now turn the call back to Mary Skafidas for any closing remarks.
Mary Skafidas: Thanks, Kelly, and thank you all for your continued interest. A replay of this call is going to be available in approximately 2 hours. This concludes our call for today.
Operator: Thank you. This concludes today's conference. You may now disconnect.